Operator: Good day, ladies and gentlemen, and welcome to Angie's List Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to hand the floor over to Leslie Arena, Vice President of Investor Relations. Please go ahead.
Leslie Arena - Angie's List, Inc.: Good morning and welcome to the Angie's List third quarter 2016 earnings conference call. With me today are Scott Durchslag, Angie's List President and CEO, and Tom Fox, our CFO. At the conclusion of our prepared remarks, we will be happy to take your questions. Scott will refer to slides during his discussion that are available on the Investor Relations section of the Angie's List website. As a reminder, today's discussion will include statements that constitute forward-looking statements, within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties that may cause actual results to differ materially. More information about those risks and uncertainties is contained in our SEC filings. We caution you against placing undue reliance on these forward-looking statements and disclaim any intent or obligation to update them. In addition, as we refer to earnings, we will also refer to adjusted EBITDA, which we define as earnings before interest, income taxes, depreciation and amortization, non-cash stock-based compensation, contingent liabilities and adjustments, and non-cash long-lived asset impairment charges. Adjusted EBITDA is a non-GAAP financial measure and you can find a reconciliation to GAAP in our earnings release, which is posted on the IR section of our website. We believe that the use of adjusted EBITDA provides additional insight for investors to use in evaluation of ongoing operating results and trends. However, it should not be considered in isolation from or as a substitute for, financial information prepared in accordance with GAAP. I would now like to turn the call over to Scott.
Scott Durchslag - Angie's List, Inc.: Thanks, Leslie. Good morning, everybody, and thank you for joining us on the call. I'm pleased to provide you with an update on our third quarter results. This was our first full quarter since removing the reviews paywall, and I'm really pleased to report that we are executing on our plan consistent with the three waves of monetization that I've discussed with you over the past several quarters. As a reminder, and as shown on slide three, wave one is about the top of the funnel to grow members as well as engagements, and that has been a great success. Member results have exceeded our expectations on many fronts, with engagement metrics trending higher from a year ago. We've added approximately 2 million members since removing the reviews paywall in June, that as many in four months as we added in the previous year-and-a-half. Wave two is about converting those growing numbers into increasing sales originations and the results are encouraging. I'm delighted to report net service provider additions increased from a loss of nearly 200 in the second quarter to a gain of nearly 1,400, the highest level of net additions in over two years. We now have approximately 56,000 service providers, up from 53,900 in the third quarter of last year. We also grew originations contract value or CV by 9%, compared to a year ago and 20% sequentially. These are very important leading indicators that are expected to contribute to revenue growth in future periods. Wave three targets increasing service provider renewal rates and this is where we will really be able to realize the full effects of the flywheel and drive significant revenue growth. This wave is nearly a year out as advertising contracts are 12 months in duration. As we assess our progress in each of the waves, it's important to note that financial results will naturally lag the operating metrics by a quarter or more depending on the specific operating metrics. Our strong operating metrics are enabled by the progress we've made against our 2016 priorities shown on slide four. As a reminder, at our Investor Day in March, we committed five milestones to strengthen our core business for accomplishment this year. We reported last quarter that we had already completed three milestones of the five milestones, and we have now completed most of the difficult structural changes to our business for all five milestones. We continue to make really good progress, but we have more to do. I will share our Q3 results for each of these milestones in turn. The first milestone is migrating our technology platform to AL 4.0, which we completed ahead of schedule back in April. Last quarter, I discussed the challenges we encountered with that migration, and I'm pleased to say that most have now been resolved. We've already begun leveraging the enhanced capabilities of the new AL 4.0 platform, including improved flexibility, innovation and speed. We can now deploy changes to our member and service provider sites multiple times per day, whereas in the past, changes were grouped into large releases spaced over several weeks or sometimes months apart, and this limited our ability to innovate and respond to customer needs. We expect the benefits of the new platform to improve our product offer and customer experience capabilities over time. The second milestone was to remove the reviews paywall and launch our new freemium tiers, which we also completed ahead of schedule in June. The significant increases in member additions and engagements that have resulted are paramount to driving value for our service providers. Compared to the third quarter last year, new member sign-ups increased 436%, and as you can see on slide five, we've dramatically bent the curves on member engagement. Unique new member visits increased 204%, unique new members searching Angie's List increased a 175%, and unique new members viewing profiles increased a 165%. As I mentioned, we've added approximately 2 million members since removing the reviews paywall. And at the end of the third quarter, we have 4.5 million members, an increase of 39% from year ago. We expect that number to reach 5 million members by the end of 2016, an increase of more than 50% from 2015, and more total members than we anticipated when we developed our plans back in March. Consumers clearly value Angie's List, and care about our content in making their home services decision. We continue to closely monitor the engagement and quality of new members, and we're pleased with what we're seeing. Whether free or paid, our members feel they are part of a community. They've chosen to go through the registration process providing information about themselves and our quantitative customer research shows they are high-quality members with serious purchase intents. Importantly, our service providers agree, our research shows they see no perceptible difference in member quality since we moved to freemium. In terms of demographics, new members resembled the new members we've added in the past. We're penetrating our target market more quickly and thereby increasing our penetration across all demographics. Our research indicates that only 25% of consumers recognize that our service is free, so the opportunity to grow is extremely large. We've only just scratched the surface on expanding our share of millennial homeowners and we see significant opportunities to do more. While we're very pleased with total membership additions, we must do a better job of adding paid members. Results from our customer research on purchase intent indicate a willingness of green members, free members, to convert to silver or gold tiers. Many have signed up for a free membership to try out Angie's List before committing to a paid membership. We will be doing more to make it easy for them to upgrade from free green to paid silver and gold memberships. Not surprisingly, we did see some deterioration in paid member renewals as more homeowners were exposed to our free messaging in the launch this summer and in the multiple e-mail notifications describing the new offerings. Our third milestone is to optimize the sales engine. The heaviest lifting for this milestone was completed last quarter with all the structural changes we made, but the full achievement of this objective is ongoing. We've made very positive changes to our sales processes, our targeting, our pricing, our organization design, our leadership, and our trading across both our originations and our client success teams. In originations, we've significantly enhanced lead generation and the sales close process, as well as expanded the pool of leads being pursued. We also put new tools in place during the third quarter to help service providers achieve the threshold numbers of reviews we need as a part of our certification process. The improvements we made have not only led to higher net service provider additions and originations contract value, they've also driven a nearly 25% sequential improvement in contract value bookings per rep. Moving to client success, the organizational and process improvements we made are our also yielding positive results. We've increased the number of account managers by more than 25% since January, which has enabled an increase in the number of contacts per sales rep and it provides time for more relationship-based selling. Since the second quarter, we've improved retention, grown renewal bookings and increased renewal bookings per rep by more than 15%. While this is good progress, it will take time for revenue to increase materially due to the principles of revenue recognition, which spreads advertising revenue over the life of the service provider contract, and that's generally 12 months, as well as the lagging impact from the platform migration on service provider retention. An additional factor to keep in mind is that while we've significantly grown our membership base, the benefits of re-pricing resulting from that higher base will not be realized until service provider contracts come up for renewal. Said differently, it will take about a year to re-price the entire service provider base and realize the related benefits of membership growth. Importantly, we've strengthened the value proposition to our paying advertisers by expanding their differentiation in search display versus non-advertisers. As you can see on slide six, visually we've improved the presentation of service provider profiles on the website including by adding certifications, badging, and implementing an improved sort logic. These changes have resulted in an increase in the allocation of traffic toward advertisers. In addition to benefiting service providers, we also expect these changes to benefit members, as data shows that certified service providers are more responsive than non-certified service providers. This effort to differentiate advertisers has only been in place for this past quarter, but we see opportunities for increasing monetization over time. Our fourth milestone is to optimize marketing and operations, and I'm proud of our progress since completing this milestone last quarter. We have made more higher-return marketing investments, improved the mix of our spend between online and television advertising and driven a year-over-year increase in total traffic of approximately 3%. We continue to have nearly twice as much monthly traffic as our next nearest competitor. More importantly, despite a 20% reduction in year-to-date marketing spend versus last year, we've seen an increase in aided and unaided brand awareness throughout the year. As shown on slide seven, aided awareness of Angie's List improved to an astonishing 97% from the 94% we reported on Investor Day in March. Even more meaningful is our unaided brand awareness, which improved to an impressive 61%, up from 58% in March. The brand perception study, which was conducted by the well-respected firm Brand Amplitude and surveyed over 1,000 consumers, indicates that we rank well ahead of the nearest competitor, which is only at 11%, and the other competitors, who were all clustered at only 2% or less. We achieved these improved results by spending less than half of what our nearest competitor is projected to spend this year. Our fifth milestone is building customer-centric products. By continuing to invest in this important area of our business, we were able to launch a significant number of new products for our customers that otherwise simply would not have been possible to get done this year. We've implemented changes to our sort logic, added certifications and badging, developed an e-commerce job board, leveraged technology to ensure the integrity of reviews and introduced the differentiation for our advertisers that I discussed. In the fourth quarter, we expect to deliver the first version of our service provider dashboard, which will display the number of profile views, reviews, and e-commerce offers sold for the current period versus the prior period. The dashboard will enable service providers to better manage their business and to also assess the value and return on investment that they're getting from their relationship with Angie's List. I'm pleased we are already benefiting from our new AL 4.0 platform, so we can develop and deliver these product improvements for our customers this past quarter, and I look forward the ones we'll be launching by the end of the year. I want to discuss the criticality of quality and the importance of our relationships with members and with service providers. We further strengthened our reviews integrity in Q3, and we now confirm identity of new members with a well-respected third-party provider of household data. We've seen a substantial strengthening of service provider loyalty and Net Promoter Score or NPS in the third quarter versus the second quarter, indicating a strong recovery from any lingering negative perceptions associated with the AL 4.0 migration. When service providers were asked directly about changes in their perception over the last three months, they cited lead volume, member quality and an improvement in the quality of the client success rep as key drivers of improved satisfaction levels. We are also seeing early positive trends in consumer NPS for new green members, with the majority of those members expecting to continue their membership and increase usage of Angie's List over the next year. So, let's move to a summary of our financial results, which can be seen on slide eight. Reflecting the shift in timing of our marketing spend, to align with our one-time freemium launch in August, we reported a net loss of $16.8 million and an adjusted EBITDA loss, which is a non-GAAP financial measure, of $7.5 million. Revenue was approximately $80 million, down compared to a year ago as the result of lower paid member and service provider revenue due in part to the platform migration impacts we warned about last quarter. While I'm disappointed in the short-term financial impact of the transition to our new AL 4.0 platform and the new freemium business model, I have no doubt these were the right decisions for the business over the longer-term and I'm truly excited about the extraordinary growth in new members and engagement that we have unleashed. With the execution of our strategy well underway and our platform stabilized, we are taking decisive action to improve margins and better align our cost structure with our growth strategy. This involves focusing investments in those areas that will drive revenue growth under our new freemium model. While we've already implemented changes in our cost structure, we are in the midst of a turnaround and a portion of our business was still aligned with the legacy model. To that end, we have identified an additional $15 million to $20 million of annualized cost efficiencies and reductions that we are executing in the fourth quarter, which builds on many of the efficiencies we've already implemented. These savings are primarily force related and target non-revenue generating head count and they are in addition to the $10 million in efficiencies that we've already delivered in 2016. We expect to realize the benefits of both sets of these actions in 2017 and beyond. We are focused on continuing to improve the economics of our business and this is the next important step. With that, I'll pass the call to Tom.
Thomas R. Fox - Angie's List, Inc.: Thanks, Scott, and good morning. For the quarter, total revenue was $79.7 million, a decline of $7.2 million compared to the year-ago quarter due to the lower service provider and member revenue. Service provider revenue, which includes advertising and e-commerce, was $66.1 million, a decline of $3.7 million compared to a year ago. Service provider revenue was negatively impacted by the technology platform migration, which contributed to lower e-commerce revenue and lower SP renewal rates. Member revenue was $13.7 million, down from $17.2 million a year ago due to fewer members on paying tiers. Gross merchandise value declined from the prior year on lower units sold and due in part to the decline in new member e-commerce purchases. We believe that a portion of new members joined Angie's List to access reviews and are relatively unaware of our marketplace. As such, we believe we can improve on these results by engaging members on our e-commerce marketplace and targeting offers to them based on their needs and interests. While e-commerce revenue declined as a result of lower units sold, this decline was partially offset by a nearly 3 percentage point increase in e-commerce take rates compared to the prior year. You may recall that increasing our e-commerce take rates has been an area of focus over the past year. Service provider contract value backlog which consists of that portion of contract value that has not yet been recognized as revenue ended the third quarter at $151.8 million, flat sequentially and down 7% from the year ago quarter. It is important to note that while backlog was flat sequentially, it improved nearly $14 million from the sequential decline in the second quarter. This compares favorably to last year's sequential improvement from Q2 to Q3, which was only $10 million. We reported a net loss of $16.8 million compared to net income of $83,000 in the year-ago quarter and an adjusted EBITDA loss, which is a non-GAAP financial measure, of $7.5 million, a decline from positive adjusted EBITDA of $3.2 million in the year-ago quarter, largely due to the decline in revenue and increased investment in product and technology associated with our freemium strategy. Marketing expense in the third quarter was $25.3 million, a decline from $26.2 million in the year-ago quarter. The sequential increase in marketing spend over Q2 of $14 million, reflects the shift in timing to align with our integrated marketing launch for freemium. We expect fourth quarter marketing spend to more closely resemble historical fourth quarter spend and be meaningfully lower than in the third quarter. Gross member additions were 1.6 million, a 436% increase from the third quarter a year ago. Selling expense was $29.7 million, up $900,000 compared to a year ago related to slight increases in outside services costs and personnel-related costs. Operations and support expense declined to $10.2 million from $14 million in the year-ago quarter due to implementation of our digital content strategy as well as a decrease in compensation and personnel-related costs. General and administrative expense for the third quarter was $12.9 million, an increase from $8.3 million in the year-ago period, driven by higher outside services including fees associated with our execution of the long-term profitable growth plan and optimization of our service provider go-to market activities. Product and technology expense for the quarter was $17 million, an increase from $9 million in the year-ago period, largely due to depreciation expense on our new technology platform and personnel costs related to the execution of our technology platform migration and the rollout of our product roadmap. Moving to the balance sheet and cash flow. We ended the quarter with $37.5 million in cash, cash equivalents and investments. Cash used in operations for the third quarter was $15.6 million compared to a use of $1.8 million in the year-ago quarter, as we invested in marketing to align with our freemium launch and in product and technology to strengthen our business for the longer term, as Scott mentioned. In addition, while we anticipated a decline in existing paid memberships and the impact on cash, we also expected new paid member additions to partially offset that impact. This did not occur to the level we had expected contributing to the increase in cash used in the quarter. Capital expenditures were $3.8 million, down from $9.5 million in the year-ago quarter. The resulting free cash flow was negative $19.3 million, a decline from negative $11.3 million in the year-ago quarter due to lower cash from operations, offset in part by lower capital expenditures, as I just mentioned. I will now hand the call back over to Scott.
Scott Durchslag - Angie's List, Inc.: Thanks, Tom. In summary, our turnaround strategy is working. Most of the engagement and operational metrics associated with our freemium offer are far exceeding our expectations. We're executing well on wave one, and wave two is off to a very strong start. It is important that we build on the positive trends that will lead to higher originations contract value, improve our service provider renewal rates and grow our paid member base. Wave three is now nearly a year out, but it is where we expect to begin ramping renewals contract value to reignite revenue growth. To get there, we have been laser-focused on our five milestones for 2016. This strategic focus has enabled the additional $15 million to $20 million in cost reductions we are now executing and we will continuously seek to improve our efficiency and effectiveness as we enter Phase 2 of our profitable growth plan next year. We will prudently invest into the turnaround with the benefits continuing to come in the form of better products and services, marketing and an improved customer experience leading to higher customer loyalty, lifetime value and the share of wallet capture by Angie's List. All of this great progress so far underscores my confidence in our turnaround strategy and in our team executing on it. We continue to see a robust impact from our new business model. Given that we have made a successful platform transition, removed the reviews paywall and launched our new freemium offers, we are seeing significant increases in originations, traffic, new member registrations, and engagement. We are focused on opportunities to further accelerate our growth. So, we have decided to explore strategic alternatives to optimize the potential and value of our new platform. Therefore, the board of directors has formed a strategic advisory committee to oversee this process and engage the Allen & Co. and BofA Merrill Lynch. We believe this is the right step for the company at this time to maximize value creation for our shareholders. We do not intend to comment further on this announcement after today and we will provide updates in the future as appropriate. And with that, I'll pass the call to the operator. Please open the line for questions.
Operator: Thank you. Our first question comes from the line of Lloyd Walmsley from Deutsche Bank.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. Two, if I can. Can you just talk about how the new service providers you're bringing in compared to the older ones in terms of what types of commitments they are signing up for? It looks like the additions, the service provider looked good, the revenue there implies, either retention continues to be an issue or the new service providers might be spending less? And then, the second one, if I can, we didn't see any of the cohort data you traditionally disclosed. Wondering if that's something you plan to continue putting out? And if not, maybe you can give us a sense for how service provider revenues (27:24) cohorts? Thanks.
Thomas R. Fox - Angie's List, Inc.: So, I'll take. Hi, Lloyd, it's Tom. I'll take the second question first. So, we actually made a decision that the cohort table was no longer useful that it used to be in terms of sort of assessing progress in the business. That core table was kind of concepted back at the IPO, to help kind of track our, sort of, nationwide rollout and kind of how we penetrated market-by-market, as a kind of a nationwide product at this point with the freemium offer at this point, where we didn't think it was particularly relevant in helping to kind track results forward. So, we decided to move away from that. On the first question on SP, I think – you think – we're – as Scott indicated in his prepared remarks, there were retention issues earlier in the year in connection with the AL 4.0 rollout and as we know, those are 12-month contracts, so when they attrite, you kind of pay that price over a 12-month period. So, we're still seeing kind of the impact of that here in the back half of the year. We're very pleased with the net additions and we're very pleased with the originations contract value, and we're adding those contracts really at – generally at historical contract sizes, so there's no material difference from a contract size perspective. So, we're pleased with the progress there, but it's going to take time. If we add these SPs to the rolls, we need to continue to do that, and over time, we should see that momentum build into revenue growth.
Leslie Arena - Angie's List, Inc.: Next question, operator?
Operator: Thank you. Our next question comes from the line of Kerry Rice from Needham & Co.
Kerry Rice - Needham & Co. LLC: Thank you. A couple of questions. When we think about the new member adds, particularly the free members, how do we – well, I guess the first one would be, you have quite a high churn on the paid side. And when you get that churn from a paid member, does that – do they automatically become a free membership or accounted for in that free membership? Is the first question.
Scott Durchslag - Angie's List, Inc.: Yes. They do.
Kerry Rice - Needham & Co. LLC: Okay. So, of the 1.6 million net new customers, about 500,000 net new customers plus be came from the paid side. Is that fair?
Thomas R. Fox - Angie's List, Inc.: They're not. This is Tom. They are not accounted in the gross adds, that's pure outside in additions to the roles. They are accounted in the total memberships, but they're not – that is not correct. They are – the gross additions number is pure. It's actual new member additions from the outside, not to folks that were paid converting to free.
Scott Durchslag - Angie's List, Inc.: And I'd add that – sorry, I mean, I'd add that, they may convert the free, but they're relatively active and engaged free members.
Kerry Rice - Needham & Co. LLC: But, does that mean the ending free members was 1.7 million? Is there another 500,000 on top of that effectively? I guess I'm having a hard time reconciling that end membership number then. If the gross is – if the gross was 1.6 million a pure number?
Scott Durchslag - Angie's List, Inc.: So, I'll take look at that. I'm not sure we're following the question here in the room here. So, I'll have to follow-up on that one.
Kerry Rice - Needham & Co. LLC: Okay. And then, the second question then will be is on cash. You had a fairly significant cash burn in Q3. Are you comfortable with the current levels of cash, if you need additional cash do you have lines of credit. Can you talk a little bit about that? I assume the cash burn will obviously come down in Q4 as you pullback on sales and marketing?
Scott Durchslag - Angie's List, Inc.: Yeah. So, we're comfortable where we are. We feel like the business can continue and be funded by cash – internal cash. So, we're comfortable where we are.
Kerry Rice - Needham & Co. LLC: Okay. Thank you.
Leslie Arena - Angie's List, Inc.: Next question, operator?
Operator: Thank you. Our next question comes from the line of Jason Helfstein from Oppenheimer.
Jason Helfstein - Oppenheimer & Co., Inc. (Broker): Hi. A few questions. Maybe, first to start, how do you think about balancing investments behind selling expenses versus marketing? So obviously, now, you're a freemium service, you get a lot more organic traffic, free traffic, so there's not as much pressure to drive marketing, do you want to invest that in selling? We obviously saw the marketing budget down a lot. So, how do you think about the balance between those two going forward now that you're a freemium business? And then, can we get a more specific update on the e-commerce in the transactions business in the quarter? Sequentially, how was that business and relative to your expectation? Thanks.
Scott Durchslag - Angie's List, Inc.: Sure. So, in terms of your first question, Jason, the investments in marketing versus selling. I mean, basically, we're looking to sort of maximize the return investment across the different channels that we could take advantage of, and one of the benefits, as you pointed out, in the freemium business model is the product itself becomes one of our best vehicles of marketing, because so many new members can come experience the product directly and appreciate the benefit rather than just being induced to join through commercials in the old model. That does put lots of pressure on us in terms of having to maintain extraordinarily high levels of marketing spend, but it doesn't mean that we don't want to do prudent marketing spend that drives the right kind of traffic and we know from the sophisticated attribution elements of the new marketing software that we've deployed that quite a bit of the different channels that we use in marketing, like directly drive through to be able to convert, and give us more people that are doing that experience. So, we're – basically have taken an approach that makes the structural investments and improvements that we need to do in the sales force, that I articulated on both the originations side, and on the client success side, and it particularly relates to much more sophisticated software and tools in terms of how we manage their time, how we manage their contacts, how we manage pricing, how we manage follow-up, how we kind of enforce more of a switch towards relationship-based selling, and there have been some adjustments in terms of how we deploy the sales force across each stage of the pipeline from prospecting to kind of qualifying and developing eligibles to actually closing them in originations. And what we're trying to continuously tune, and I think we've gotten a lot better at it, is being able to do that in a way that kind of maximizes conversion, and will ultimately translate into what the share is we capture and what the share of wallet is that we get out of that. So, it's fair to say that we've shifted some of the mix away from marketing and towards sales, because of what we did with the freemium business model. But, that said, it doesn't mean that we wouldn't want to be able to make the right prudent investments to be able to get even more growth out of being able to optimize those investments, particularly in marketing going forward. On your second question, in terms of our progress in e-commerce, look, there is no question about it. AL 4.0 had an impact on e-commerce. Now, I want to clear about why that is. We architected AL 4.0 to enable the home services marketplace that I described to you on Investor Day on March 3. That is very different from the Groupon-like sort of daily deals with e-commerce that we do on the site today. So suppose – to some extent, the new platform is not optimized for the existing e-commerce business and that's part of the reason why I think that it's been down. It is meant to build the foundation for the home services marketplace, which is aimed at attacking systematically all of the obstacles to online penetration of the $400 billion home services space. And so, we're paying a certain price in the transition. But believe me, it'll be a price worth paying. Second, even though it had an impact, we did see good progress on improvements on take rate, right. I mean, as Tom described on the call, we've seen that improve by a few hundred basis points over time. And what we're focused now is basically on improving some of the tactical elements of purchasing on the website, the checkout on the website, to try and mitigate as much of that impact as we possibly can. But, we're not going to make fundamental architectural changes on the site that compromise the true long-term value drivers we architected into it to enable the home services marketplace. So, there is only so much that we're going to be able to do, but I do think that we can do some more than we've gotten done to date. Does that answer your question on e-commerce?
Jason Helfstein - Oppenheimer & Co., Inc. (Broker): Yeah. That's helpful. Thank you.
Operator: Thank you. And our next question comes from the line of Peter Stabler from Wells Fargo.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks. Good morning. A couple of questions. First of all, Tom, in your prepared comments, you talked about the cash burn as being exacerbated by lower than expected progress on converting paid memberships. Wondering if you guys could give us a sense of how far short of expectations did you fall here? And when you look out longer-term, what kind of revenue mix should investors be thinking about between SPs and paid memberships? And then I've got a follow-up. Thanks.
Thomas R. Fox - Angie's List, Inc.: So, I'll comment on it, maybe Scott can do so as well. I think that on this sort of second part, I think the comments we made – that I made at the Investor Day back in March still hold. I think we still expect notwithstanding the disappointment on the paid member join side, we expect SP revenue to be the – to grow in terms of its relative contribution to the top-line over the next couple of years. I think that we have now kind of delivered more benefits and we're actually working on improving the paid member join rate, but it fell well short of our expectations in the quarter and there is a lot of work going on inside the company now to improve that. And we think that, as it improves, that will help – kind of helps the cash picture.
Peter C. Stabler - Wells Fargo Securities LLC: Great. And then, more of a strategic question for Scott. When we look across the competitive landscape for local home services advertising, it seems to us that the there is a migration underway towards shorter contract duration. If you think about the big social platforms, the big search platforms, you think about what Yelp is doing in migrating from a heavy mix of annual contracts to shorter duration deal, self-service, et cetera, just wondering if you could give us some of your thoughts around the annual contract. And what kind of barrier that may represent in a marketplace that appears to be migrating more towards flexibility, given that there is – there are puts and take in that, less visibility, but more flexibility on the SP side, and whether that could or could not include more of a lead gen model? Hope that makes sense. Thanks.
Scott Durchslag - Angie's List, Inc.: Yeah., That's a great – It's a great question, Peter, and a very current one. I mean, look, as we said, most of the contracts are 12-month contracts. But, we're looking at experimenting with some flexibility to that. And where you see us going with the service provider dashboard, let's just start to lay the groundwork to begin to think about some multiple possibilities in terms of how we would actually be able to monetize our service providers. And so, we're going to be looking at that pretty carefully. It is true that, in addition to the structure of what you're seeing some competitors do, and that is part of the reason that we launched LeadFeed. And while we weren't able to iterate LeadFeed out of a beta, as many times as I would have liked to, because we needed to prioritize our product resources on the platform migration and getting the paywall down and getting all the benefits enabled, those are some of the tough decisions you have to make at a turnaround. It is now clear that as we look at the overall user experience as we close that gap in the next sort of wave of product developments that we're doing. We're integrating LeadFeed quite closely into the flow. And so, we're going to be able to parse consumers when they come into their intent, are they coming to us for convenience, in which case you want to take them down a LeadFeed funnel, are they coming to us for price, which we want to take them down and improve our e-commerce experience, where they're coming to us for quality, which is what most of our traditional – that's the traditional core of the business in which case we take them through our improved search and sort experience. And so, we'll be tackling it from that direction as well.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks, Scott.
Leslie Arena - Angie's List, Inc.: Before we move to the next question – this is Leslie. I just want to draw everyone's attention to page two of the press release regarding the question of gross and free paid members. So, total free memberships reflects the number of free members as of the end of the period who joined subsequent to us dropping the paywall, and as well as the number of former paid members who requested a change in membership. Gross free members represent the total of new free members added during the period and it does not include former paid members who requested a change in membership status from paid to free over the same period. So, we can move to the next question, operator.
Operator: Thank you. And our next question comes from the line of Darren Aftahi from ROTH.
Darren Aftahi - ROTH Capital Partners LLC: Hey, guys. Thanks for taking my question. Just two, if I may. Can you talk about with your new free members obviously – some of them that's been on longer than others, what kind of engagement you're seeing with those members, we are sort of the first 30 day, 60 days, 90 days and it kind of attributes around that. And then secondly, on the strategic alternatives announcement, I'm just kind of curious on the timing about why now kind of makes less sense? Thanks.
Thomas R. Fox - Angie's List, Inc.: Sure, Darren. Well, I mean on your first question, we're not – we're seeing – we're seeing a total similarity between the new free members that are joining and what their patterns of behavior are as opposed to the previous new members that joined in the paid model. There is not any sort of material difference. Usually, in the first 30 days, as you asked about, there is a specific project or improvement that they want to try, and find somebody for. And so, we just make that a lot easier to do when they first come to us, and they're going ahead and doing that, it's not any kind of a material difference. In terms of the second question that you asked, outlook, I mean on the timing, we just see an opportunity to accelerate growth even further with a strategic or financial partner. I mean, since I've gotten here, I've been humbled by the interest we've seen in our company for multiple parties, not just those in our space. And given that and given our strong progress, we just think it's the right step at this time, and we really want to sort of look at the full set of options across the broadest range of strategic and financial alternatives to make the best choice to maximize shareholder value. And rather than just being reactive about it, we think, it makes sense to be proactive about it, and do it in kind of a structured way. And if you think about it, it's been a year since my first earnings call with you, and early down, I was learning a lot, and we needed to put together the profitable growth plan to understand the organic value of the company. We've now learned a ton about that. And so, it makes sense a year later to sort of look at it, and try and understand the full range of organic and inorganic possibilities to be able to see what is the best choice there that'll let us to be able to accelerate growth. I mean, we're seeing such good traction, it's a turnaround that deserves to be invested into. And so, we just want to – we want to do that in as smart of a way and a systematic way if possible and will – so, the board will pick the path that maximizes shareholder value.
Darren Aftahi - ROTH Capital Partners LLC: Great. Thank you.
Leslie Arena - Angie's List, Inc.: Next question, operator.
Operator: Thank you. Our next question comes from the line of Rob Sanderson from MKM Partners.
Rob J. Sanderson - MKM Partners LLC: Yeah. Thanks. Good morning. My question relate to the service provider pricing in the comment from the script, Scott. On the current contract, price specifically, on the base of paid members and not free members, you talked about a full year sort of renew. If that's the case, does the, I guess next expectation going on converting the paid membership. Does that really have a 12-month I guess pricing impact or revenue that's on the SP side?
Scott Durchslag - Angie's List, Inc.: The current contracts are based on total memberships. And so, the issue with it simply is, because these reflect the contracts that were negotiated over the previous 12 months, they don't take into consideration any of the re-pricing that we're doing with our new pricing tools based on this explosion of growth and engagement. And so, over the next 12 months, you'll basically see that – you'll basically see that base come up in the new contract that come in, and that is why there is the delay in timing in terms of the impact on revenue growth.
Thomas R. Fox - Angie's List, Inc.: And these are mechanics that have always existed, so this is not something new, we've always – it's been in our filings and it's been in our quarterly releases. It takes us 12 months to re-price – generally re-price contracts that we can only come back and do that every so often. That's what we're intending to refer to you.
Rob J. Sanderson - MKM Partners LLC: Yeah. That makes sense. That's helpful. So then, there's really on the membership pay, I mean, is no – there's no mechanism to capture the upside in a rapidly expanding base on the current contacts, but neither is there a downside from the decline in the paid membership as opposed to free, is that correct?
Thomas R. Fox - Angie's List, Inc.: Yeah, works in both directions. That's how it works, that's correct.
Rob J. Sanderson - MKM Partners LLC: Okay. Thanks. And then one thing, Tom, quickly, just back to the cash burn. You understandably quiet this quarter for launch reasons, but if we were to look that on a more normalized basis, anyway to sort of benchmark what that would've been excluding things that are really launch related and non-recurring?
Thomas R. Fox - Angie's List, Inc.: We're not going to get into that level of detail. I understand the question, but we're not going to get into kind of hypothetical, so.
Rob J. Sanderson - MKM Partners LLC: Okay. Thanks, guys.
Leslie Arena - Angie's List, Inc.: Next question, operator?
Operator: Thank you. Our next question comes from the line of Kevin Kopelman from Cowen & Company.
Kevin Kopelman - Cowen & Co. LLC: Thanks. This is Kevin here. So, I just want to ask about originations contract value. Can you give us an update on – I think, that was – you said, that was up 9% in Q3. Can you give us an update on how that trended in October? And then, I have some follow-ups.
Scott Durchslag - Angie's List, Inc.: Yeah. Originations is one of the key metrics, right, so we articulated in terms of wave two, but I'm not going to comment on specific month-by-month performance in the current quarter. But as we've been really clear about for the past several quarters, we wanted to give you guys a roadmap of what to be holding us accountable to in terms of progress of the turnaround, right? The challenge is, the financial metrics, revenue and EBITDA they're sort of trailing indicators. What are the key leading indicators? And the key you're asking about, I think the most important of the key leading indicators, right, which is how does all of that progress at the top of the funnel in terms of new members and their engagement begin to convert into the real value, and it begins in wave two with expanding the number of those net service providers and in their behavior in terms of those originating contract values. And what we've seen in Q3, and you should hold us accountable in this quarter as well and going forward is real significant progress, if you look at the levels of that origination CV compared to what that was, say for example, over the previous year, right? So, if the early – if the canary and the coal mine is the early indicator if you will of how all of the changes we're making are starting to really impact monetization. And so, you're right to be focused on it, but I'm not going to comment on just October.
Kevin Kopelman - Cowen & Co. LLC: And then, in August, I think you pointed to a two times origination CV as the target. Are you still targeting a 2x OCV growth?
Scott Durchslag - Angie's List, Inc.: No. I think we were just talking about kind of what we were actually seeing and in part that was I think reflecting some of the numbers we cited to you on Investor Day out of the pilot studies. So, I mean in general, what we want to try and show is improving progress on those originations – on origination CV, reducing attrition and expanding the base of the those service providers. And rather than give you kind of a point in time type of number, I think it's more about the overall trends and how we're kind of moving the needle on making general improvements there, and we're in a different level now than we were when I got here, for example.
Kevin Kopelman - Cowen & Co. LLC: Okay. And then, just if I could ask about one another metric, you mentioned the total profile views on the Analyst Day that that was higher correlated with the SP revenue, I think. Can you give us an update on what total profile views growth looked like in Q3?
Scott Durchslag - Angie's List, Inc.: Yeah. I mean, I gave you the specific numbers in the call, right. We were seeing some pretty nice progress in terms of unique new members viewing profiles increasing 165%. So, that's almost a tripling.
Kevin Kopelman - Cowen & Co. LLC: What about total profile views including the existing members?
Scott Durchslag - Angie's List, Inc.: They're up, they are not up as much as we're seeing in terms of dramatic new member impact, but they're also up.
Kevin Kopelman - Cowen & Co. LLC: Okay. Thank you.
Leslie Arena - Angie's List, Inc.: Next question, operator?
Operator: Thank you. Our next question comes from the line of Blake Harper from Loop Capital.
Blake Harper - Loop Capital Markets LLC: Thanks. Good morning. I missed some of the call so sorry if I repeat anything. But I wanted to see if you have any update on specifically the LeadFeed products, either just the product itself as far as the technology to be able to put out there and then just the customer adoption on the service provider side and any feedback that you're getting from them on that.
Scott Durchslag - Angie's List, Inc.: Yeah. I did talk about LeadFeed on an earlier question. And basically, the gist of it is we're integrating LeadFeed into the user experience. And in part you kind of have to do that, because the way – with some of the changes that Google has announced that it's making, having that as an interstitial that launches, that people start to navigate away from the site, doesn't – isn't going to work after January, according to their announcement. So, this is something that would have to be done in any event. But, we also think it's the right thing to do in terms of improving the user experience. And what I said was, as users come to the site, we want to be able to naturally parse them into kind of one flow if they're there for quality, and that takes them down our search experience with all the improvements we made in that. Another flow, if they're there for price, that will take us down our improved e-commerce flow, or the third, if they're for convenience, they just want a service provider quickly, it has to be fast and they want somebody good that will be the integrated LeadFeed experience.
Blake Harper - Loop Capital Markets LLC: Got it. Thanks. And then, one more, if I could, Scott. Could you maybe provide some update or color on where the – how much of your new, of the memberships are coming from mobile, either on mobile app, or web, and just given your focus on attracting more of the millennial homeowners would assume that a lot more of the traffic would be mobile, but just would – I want to understand maybe the difference there between sign-ups or conversion to the freemium over the mobile channel?
Scott Durchslag - Angie's List, Inc.: Yeah. I mean, broadly, mobile is about 50% of our traffic, that's – it trends pretty highly in part because of the reason that you articulated. We don't provide kind of any specific breakout of spend, but online is slightly exceeding offline. And as you point out, we would certainly expect with millennials, it's really important to have a good mobile experience. And as we look at our roadmap, we're looking at trying to be sure that the improvements that we make there in some cases are available mobile first. And as we optimize them, we can kind of bring them out and be able to bring them all the way through. To give you a little more color on the breakout of spend between online and offline, it's broadly 42% or so online, about 52% offline.
Blake Harper - Loop Capital Markets LLC: Thanks, Scott.
Leslie Arena - Angie's List, Inc.: Last question, operator?
Operator: Thank you. Our final question for today comes from the line of Aaron Kessler from Raymond James.
Aaron M. Kessler - Raymond James & Associates, Inc.: Yes. Hi, guys. A couple of questions. Just on the ad product differentiation, it seems like a fairly big change. Can you just talk a little bit about the reception you've seen for that among service providers as well as members? And with that change, how should we think about maybe the role of coupons going forward as well, are those still necessary? Thanks.
Scott Durchslag - Angie's List, Inc.: Sure. Sure, Aaron. Well, I mean – so, it's gotten a very enthusiastic response from the existing service providers, who – as you can imagine, some of them were looking for a reward and a benefit for being a participating advertiser. And to be candid, there were too many service providers that had gotten smart over the years, about how to try and get a lot of the advantages of being on Angie's List, just in terms of how they accumulated their reviews and how they describe themselves in their profile. That allowed them to get a lot of traffic and benefit from the site without paying us. And I hate that, I absolutely hate that. So, what we're seeing on this is, a real sense of appreciation from a lot of the service providers, see that we recognize that, and we're acting on it. And in truth, one reason, I'm so confident about our strategy is, we're starting to see that already be a very powerful sort of tool in renewal discussions with existing service providers. So, while the big impact of that doesn't come probably for a year out, it's already helping some of those renewal discussions. And as this change really kind of bike ride in terms of the impact being felt by some of those free riding service providers, where they see it as – they see that they're actually starting to get fewer calls, perhaps than they used to get from us. Then, I think that may cause them to reconsider, whether they want to be an advertiser on Angie's List, and that will be another benefit that we'll realize a little bit down the road. But, it takes some time for them to feel that. And as those changes really are now just broadly taking effect across all different elements of the experience, and conversely, there's a whole sort of other benefits and differentiation that we brought to bear on this. So, the existing service providers will have a much fuller showing of other sources of differentiation, we'll broaden our badging, and we'll make that badging prominent. They'll have an expanded profile page, they'll have the ability to do things and they have tools through that dashboard that I descried that non-participating service providers won't. So, it is an important change, you're quite right. We're barely seeing the impact of it yet, and I expect it to be significant over time.
Aaron M. Kessler - Raymond James & Associates, Inc.: Great. And is there any traffic data you can talk about? I know there is some third-party traffic in the data that was, I guess, showing some more negative and I believe the traffic actually was. Any traffic data that you comment on specifically from your internal data?
Scott Durchslag - Angie's List, Inc.: Yeah. I do want to talk about that, because people are aware of the comScore data which is what I think you're referring to. And I can't speak for them, but basically starting in March, comScore began counting our traffic growth. And technically, it was because we had a switch from HTTP to HTTPS for some of the pages on our site and the move to HTTPS caused their estimate of traffic for mobile devices to be overstated. And so, once they learned of our switch to HTTPS, they corrected for it and their numbers returned to normal in August. So, you ought to go – you ought to take sort of our traffic numbers on this, as being accurate and our traffic numbers are up 3%, as I reported, it's not down.
Aaron M. Kessler - Raymond James & Associates, Inc.: Great. Thank you.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to management for any additional comments.
Leslie Arena - Angie's List, Inc.: That wraps up our call for today. Thanks, everyone, for joining us. Have a good day.